Operator: Good day, and thank you for standing by. Welcome to the BellRing Brands Fourth Quarter Fiscal Year 2025 Earnings Conference Call. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your speaker today, Jennifer Meyer. Please go ahead.
Jennifer Meyer: Good morning, and thank you for joining us today for BellRing Brands Fourth Quarter Fiscal 2025 Earnings Call. With me today are Darcy Davenport, our President and CEO; and Paul Rode, our CFO. Darcy and Paul will begin with prepared remarks, and afterwards, we'll have a brief question-and-answer session. The press release and supplemental slide presentation that support these remarks are posted on our website in both the Investor Relations and the SEC Filings sections at bellring.com. In addition, the release and slides are available on the SEC's website. Before we continue, I would like to remind you that this call will contain forward-looking statements, which are subject to risks and uncertainties that should be carefully considered by investors as actual results could differ materially from these statements. These forward-looking statements are current as of the date of this call, and management undertakes no obligation to update these statements. As a reminder, this call is being recorded, and an audio replay will be available on our website. And finally, this call will discuss certain non-GAAP measures. For a reconciliation of these non-GAAP measures to the nearest GAAP measure, see our press release issued yesterday and posted on our website. With that, I will turn the call over to Darcy.
Darcy Davenport: Thanks, Jennifer, and thank you all for joining this morning. Fiscal year '25 was a strong year for BellRing Brands. Net sales grew 16% and adjusted EBITDA margin reached 20.8%. We launched our first media campaign since '21, delivering compelling returns, expanded distribution while elevating retailer partnerships and accelerated our multiyear innovation strategy. We also advanced our savings program, enhancing flexibility to reinvest in future growth. Our strong track record of cash generation continued this year, and we meaningfully stepped up our share repurchases, buying approximately 7% of our shares outstanding. We expect another successful year in fiscal '26 with a softer Q1 followed by a stronger balance of the year. Paul and I will provide additional detail on our guidance and quarterly cadence. Turning to the fourth quarter. The ready-to-drink shake category grew 15%, while Premier shake consumption grew 20%, driven by incremental promotion events. Premier continues to have category-leading metrics, including the #1 household penetration and the category's highest repeat rate. Notably, both household penetration and buy rate increased during the quarter, reinforcing the brand's unmatched strength and consumer loyalty. Now turning to the category. RTD shakes are one of the fastest-growing CPG categories, fueled by consumer health and wellness trends, functional beverage preferences and GLP-1 usage. Household penetration of 54% highlights a long runway for growth as it trails mature CPG categories, which are often at 80% to 90%. Retailers are leaning into this opportunity, increasing category space, testing higher traffic aisle locations and expanding display space to capture growing consumer demand. The success of this category, which has doubled in retail sales since 2019 to $8.7 billion has naturally attracted competition. Currently, the 2 leaders, including Premier Protein, have approximately 50% market share. The other participants include newer insurgent and crossover brands and some declining legacy brands. Of note, legacy brands, which collectively represent approximately 30% of the category, have been meaningful share donors for several years now. Over time, we expect retailers to consolidate the shelf behind a handful of the best-performing brands and move them to more heavily trafficked aisles. We believe that mainstream appeal, high repeat rates and execution capabilities will determine the long-term winners. Premier Protein is well positioned to benefit from these developments and continue to lead the category. Over the next few years, we expect RTD shake category dollar growth to be high-single to low-double-digit, with volume the primary driver. In late '25, a major club retailer significantly expanded their RTD assortment. While we do not know for certainty, we assumed the expanded assortment continues through fiscal '26. We expect pricing benefits to subside and promotional spending to slightly increase as new brands work to establish themselves in the market. These near-term dynamics lead us to expect category growth in the high single digits for '26. In the medium-to-long-term, we expect more marketing spending, expanded shelf space, innovation and the mainstreaming and affordability of GLP-1s to drive higher household penetration and category growth. We are confident in our continued strength of the category. Premier's deep category knowledge, strong brand equity, scalable manufacturing network and robust retailer relationships give us confidence that we will continue to be the category leader and capture meaningful share of long-term growth. I'll now turn to our long-term targets. BellRing began its journey as a public company 6 years ago with $850 million in revenue. Our total revenue base is now $2.3 billion, and our Premier Protein shake revenue has tripled. Since IPO, we have delivered a net sales CAGR of 18%, significantly ahead of our long-term revenue growth projection of 10% to 12% shared at the time of our listing. There are multiple ways to achieve strong growth in our business. However, it becomes more difficult to grow at double-digit rates of a larger revenue base. And in the near term, we are expecting a more competitive environment. As a result, we are updating our long-term revenue growth algorithm from low double digits to high single digits, specifically 7% to 9%, with Premier Protein driving our growth. This assumes that Premier Protein, the #1 market share brand will continue to grow relatively in line with the RTD category, while Dymatize slightly weighs down our growth rate. We are maintaining our adjusted EBITDA margin algorithm of 18% to 20%, which embeds higher levels of brand investment enabled by our cost savings agenda. These investments are designed to reinforce our brand strength and position us for sustained profitable growth over the long term. Our updated revenue growth algorithm is healthy. And together with attractive margins and our asset-light model, we expect to continue to generate strong cash flow and create significant value for our shareholders. Turning to our outlook for '26. Our '26 net sales guidance is a range of 4% to 8% growth with adjusted EBITDA margins of 18%. At the midpoint, sales for the year are expected to be modestly below our long-term algorithm because of the softer first quarter driven by specific items and near-term competitive dynamics. We expect performance to strengthen with the remainder of the year at the top end of our algorithm. Adjusted EBITDA margin is expected to be at the lower end of our range, primarily due to significant commodity inflation and tariffs, along with the lagged revenue impact of increased brand investments. For Q1, we expect flat consumption for premier RTD shakes with October and November lapping the toughest club channel comparisons, including a nonrecurring promotion. For context, we are lapping 23% consumption growth in the first quarter of '25, which included very strong club consumption with the smallest number of new brand entrants in an incremental promotion. Q1 net sales largely follows consumption with some additional timing-related headwinds impacting sales, resulting in a roughly 5% decrease in net sales. Paul will provide more detail later. We expect consumption along with net sales to accelerate starting in mid-December. As we move through the year, our FDM merchandising initiatives, advertising and innovation become more meaningful contributors to our growth and club comparisons ease as we lap expanded assortment. Now I'll provide additional details on our operating plans for '26. Our priorities for this year include: one, continuing to grow our distribution both in and out of aisle; two, increase advertising investment while elevating its impact; and three, launch innovation that provides consumer excitement, adds occasions and drives trial. Distribution, both in and out of the aisle is a major opportunity. Starting with club, we intend to bolster our position in club channel with new products, increased sampling and additional promotional spending. We expect our performance in club to improve as we move through the year. Our Premier shake TDP increases driven primarily in mass, food, drug and e-commerce channels grew by more than 20% in '25, and we have strong plans to expand at similar rates in '26. As I mentioned last quarter, we have partnered with a new broker to significantly expand store level coverage and launched an internal retail sales team focused on securing in-store displays, especially singles and entry price point multipacks. In late Q1, we will launch a partnership with a major mass retailer that includes placements across pharmacy and grocery aisles plus extensive displays and end caps. This program will also include the first launch of new shake innovation targeting incremental occasions, which I'll discuss later in my remarks. Our second priority is advertising. We saw a strong return on investment in fiscal '25 and decided to further invest and elevate our creative in '26. Premier has the highest unaided brand awareness in the category, though there remains significant opportunity for expansion. We have strengthened our agency roster and we'll be launching a new creative campaign designed to drive household penetration, strengthen emotional connections and bring fresh energy and relevance to the brand. The campaign kicks off in late December and includes national TV and strong digital components. Turning to innovation. In fiscal '25, we conducted a comprehensive demand study and incorporated the results into our multiyear innovation strategy. The study validated our product focus for '26 and identified several white space opportunities, some of which that we have accelerated launching in late '26 and early '27. Specifically, in '26, we are intensifying our focus on innovation across flavors, consumer segments and occasions. In June of '25, we launched almond milkshakes, our first non-dairy protein offering, with the strategy of bringing new consumers into our brand. Although early, it is already the #2 turning 4 count in the non-dairy RTD set. We are seeing strong incrementality with nearly half of the buyers new to the brand. Almond milkshakes are expanding distribution throughout '26 and supported by advertising. About a year ago, we launched our indulgent line with the goal of driving incremental occasions, it worked. In '26, we will build on that success as well as the success of our Café Latte core shake flavor with our new Coffeehouse or proffee shake line. Each shake provides 30 grams of protein and the caffeine equivalent of 1 cup of coffee, meeting the protein and energy consumer need, which is incremental to our core baseline. It will be offered in Carmel Macchiato and Mocha targeting a sweeter taste palate. Coffeehouse launches in mid-December in both mass and e-commerce channels. The launch will be fully supported with paid media influencer partnerships and in-store signage and sampling. And lastly, Premier is known for its flavor innovation, and we will continue to bring flavor excitement to category throughout the year. In closing, Premier has a history of strong growth and is the #1 brand in one of the fastest-growing categories in retail. The power of the brand is evident in our record high household penetration and repeat rates. Our first-mover advantage lies in being a scaled pure-play company with attractive margins and a deep category expertise. Retailers see the category's potential, and they are partnering with Premier as they develop their growth plans. Q1 has some unique dynamics that are causing near-term challenges, but growth in the balance of the year is strong. The brand and business fundamentals are robust, and I have confidence in delivering the year. We are investing in our brands, sharpening our execution and innovation plans and driving our sales -- our savings agenda to enable our next phase of growth. I remain confident in our future and our ability to create sustained long-term value for shareholders. Thank you for your interest in the company. I will now turn the call over to Paul.
Paul Rode: Thanks, Darcy, good morning, everyone. Fiscal '25 was a year of strong performance for BellRing with net sales growth of 16%, adjusted EBITDA of $482 million and an adjusted EBITDA margin of 20.8%. Our business generated $261 million in cash flow from operations, and we ended the year at net leverage ratio of 2.1x. Our strong balance sheet enabled us to repurchase 9 million shares or $473 million in total or approximately 7% of shares outstanding. We've continued to repurchase shares in October with $40 million repurchased to date in the first quarter. In the fourth quarter, net sales were ahead of our expectations at $648 million, up 17% over the prior year. We delivered adjusted EBITDA of $117 million at a margin of 18.1%. Premier Protein net sales grew 15% and were in line with our expectations with strong volume growth for our RTD shakes and putters. RTD shake sales grew 14%, driven by volume growth from incremental promotional events and distribution gains offset partially by unfavorable price mix. As expected, Premier shake dollar consumption was up 20% and outpaced revenue growth. This difference was driven by expected changes in trade inventory, primarily the previously noted e-commerce fee load as well as the pricing impact from our incremental promotional events, which had an outsized impact to our net sales compared to consumption at retail prices. Dymatize net sales growth of 33% was well ahead of our expectations, driven by strong volumes. International benefited from strong consumption and a volume pull forward ahead of our late Q1 price increase with the latter and expected headwind to Q1 growth. Adjusted gross profit, which excludes mark-to-market adjustments on commodity hedges, was $192 million and declined 4% from prior year. Adjusted gross profit margin of 29.7% decreased 620 basis points. The decline was driven by mid-single-digit input cost inflation, increased promotional activity and onetime packaging redesign cost. Protein costs stepped up in the quarter across both powders and shakes, and we expect these headwinds, most notably on powders to continue into fiscal '26. SG&A expenses were $81 million and delivered significant leverage at 12.5% of sales versus 16% of sales in the prior year quarter. The reduction in expenses was driven by lower marketing and advertising expenses as expected as we lapped a period of heavier media and [indiscernible] testing. I'd now like to discuss our long-term targets and capital allocation priorities, followed by our 2026 financial guidance. As Darcy discussed in her remarks, we now target long-term annual net sales growth of 7% to 9%. We expect our business to maintain strong profitability and are reiterating our long-term adjusted EBITDA margin algorithm of 18% to 20%. In 2023 through 2025, we exceeded our adjusted EBITDA margin algorithm. That performance reflected strong sales growth with favorable pricing and a more constructive commodity cost environment prior to the second half of fiscal 2021. Advertising spend as a percentage of net sales was also relatively low at approximately 3% given past supply constraints. Looking ahead, our adjusted EBITDA margin algorithm reflects a healthier level of Premier brand support with total company advertising investment increasing to 4% to 5% of net sales and promotional spending at competitive levels. Our adjusted EBITDA margin algorithm also now incorporates the impact of tariffs. As previously communicated, tariffs will begin to impact our P&L starting in fiscal '26. While we have mitigated much of our tariff exposure, we do expect an ongoing annualized impact to our margins of approximately 120 basis points. We continue to evaluate ways to further mitigate these impacts. To bolster our margin target, we have accelerated cost savings initiatives across our organization. The primary areas of savings involve more efficiently utilizing our co-manufacturing, warehousing and transportation networks as well as procurement savings from ingredients and packaging. Longer term, our cost savings efforts, normalization of record highway protein costs in 2026 and modest SG&A leverage are expected to be supportive of improvement in our EBITDA margins. Our disciplined capital allocation priorities remain unchanged. We will first invest in growth initiatives, including innovation, marketing and systems and process capabilities. Second, we expect to remain asset light with low capital expenditures. After investing in our business, we expect to be aggressive and opportunistically repurchasing our shares with M&A being a longer-term priority. Turning to our fiscal '26 outlook. We expect net sales of $2.41 billion to $2.49 billion. This represents 4% to 8% growth. Adjusted EBITDA is expected to be $425 million to $455 million with a margin of 18%. From a brand perspective, we expect high single-digit sales growth from Premier Protein at the midpoint. Premier's volume growth is expected to be driven by continued category tailwinds, distribution gains, including innovation and brand investments. Volume performance is expected to be partially offset by low single-digit headwind from promotional investments as Darcy mentioned in her remarks. We expect high single-digit sales declines for the rest of the portfolio. For Dymatize, we're executing a price increase beginning in late Q1 to offset meaningful Whey protein inflation and have prudently modeled in elasticities. Additionally, we are reducing brand investment as we navigate high protein costs and the brand has a difficult sales comparison in Q4. Specific to Q1, total net sales are expected to be down approximately 5% of both Premier and Dymatize declining largely in line with our overall decrease. Consumption growth for Premier Protein shakes is expected to be flat. In Club, Q1 is our toughest comparison of the year where we lapped a period with fewer new entrants and chose not to repeat promotions for Premier and Dymatize. Additionally, Dymatize had a strong fourth quarter and benefited from a sales pull forward from Q1 of approximately $8 million, mostly related to shipments ahead of our late Q1 price increase. Together, the non-repeating promotions and sales pull forward are a 4-percentage-point headwind to our first quarter growth. As we move into Q2, we expect an acceleration in both consumption and net sales with the balance of the year sales to grow at the high end of the algorithm at the midpoint of our guidance. This is driven by Premier, which we expect to outpace overall company growth for the balance of the year, as a robust merchandising programs in the FDM channel phase-in for Q2 and beyond and Club comparables ease. Moving to fiscal 2026 adjusted EBITDA. We expect adjusted EBITDA margins to decline 280 basis points at the midpoint with lower adjusted gross margins, the primary driver. Adjusted gross margins are expected to be pressured by significant input cost inflation, particularly whey protein, the primary input costs for our powders, the introduction of tariff cost and promotional investment with margin pressure primarily in the first half of the year. Tariffs are expected to have an unfavorable impact of 80 basis points on our gross margins, net of mitigation and the impact of timing. The remaining EBITDA margin impact is primarily due to increased advertising, which is partially offset by SG&A leverage. Advertising as a percentage of sales is expected to be approximately 4%, with the largest year-over-year dollar increases in Q2 and Q3. We expect Q1 adjusted EBITDA dollars to be below prior year levels with a margin of approximately 16% to midpoint, primarily driven by lower sales and gross margins. In Q2, adjusted EBITDA dollars are expected to improve sequentially, with margin rate approximately 100 basis points lower sequentially due to a combination of higher sales, inclusive of Dymatize pricing, continued high commodity inflation and the timing of advertising support. We anticipate adjusted EBITDA growth in the second half due to higher sales growth, easing commodity inflation and higher cost savings. In closing, fiscal '25 was a strong year, highlighted by robust top line growth and strong profitability. We feel confident in our plans and ability to deliver our 2026 guidance and long-term outlook. Premier is the #1 shake brand with durable competitive advantages in an attractive category, and we expect the investments we are making this year to bolster our long-term position. Finally, our cash-generative business and strong balance sheet enable us to fund our growth plans while also opportunistically repurchasing shares. I will now turn it over to the operator for questions.
Operator: [Operator Instructions] Our first question comes from Steve Powers of Deutsche Bank.
Stephen Robert Powers: Darcy, I think it's fair to say that a lot has changed over the last 6 months in your categories and around your business. Maybe just -- could you start off by summarizing what you've observed and how that's influenced your '26 plans as well as your updated long-term views. And why you believe the outlook you've landed on is the right one, both in the year ahead and longer term?
Darcy Davenport: Sure. I would actually start with what has not changed. I think what has not changed is the momentum in the category. There is -- I mean, the household penetrate -- it's still a low household penetration category, call it 50% with a ton of upside. There -- I mean, you could actually argue there's more momentum in the category. And what has also not changed is Premier's position in the category. So we are the #1 brand, #1 household penetration, #1 repeat, strong national supply chain, et cetera. So I think those are kind of the mainstays. I would -- so I think what has changed is it's more competitive, which I think is expected. I mean the way I view the category in total is that there are -- they're kind of -- and I walked through some of this in my prepared remarks, but they are the leading brands, which include Premier, which represents about 50% of the category. There are these insurgent and crossover brands, which represent about 10% of the category. And then there are declining legacy brands, which represent about 30% of the category, who have been kind of meaningful shared donors through the year. As I look forward, what we expect to see is the leading brands keep leading and winning. The insurgent brands are -- there's going to be some mix. There's going to be kind of a shake-up, where some will make it and some will not. And then the declining brands will continue to decline. So as I look at our guidance and our plan for '26, I feel really good. We have a tough Q1. There's some unique dynamics going on with Q1 with -- in the club side of the business. We're lapping a period with fewer new entrants and one major club customer. And we're lapping some non-repeating promos in the other. So it's a tough quarter, but that does not represent the business. The last 3 quarters are much like every other quarter that we've had, which has strong, strong growth. And the reasons to believe there is the category is healthy. We have strong plans. The rest of the business is growing very rapidly. We've got a couple of really exciting partnerships, like we have a partnership with this mass retailer that I talked about, which really is, I think, a sign of what we're going to see in other grocery accounts and then advertising hitting as well as innovation. So I think there is the reason to believe as well as my view on the category.
Operator: Our next question comes from Andrew Lazar with Barclays.
Andrew Lazar: Darcy, I remember last quarter, you did not yet have as much clarity as you wanted around the repeat rate for some of the new entrants or the insurgence that have come into the category, particularly at your largest customer. I'm assuming you at least have some additional clarity now on some of this. And I guess, more importantly, what that means for sort of the -- your expected shelf set, right? For the year ahead at your largest club customer. I was hoping you could maybe update us a bit on that dynamic. I think that was one of the main reasons why last quarter, you weren't yet in a position to sort of provide '26 guidance as I think many had kind of hoped at the time.
Darcy Davenport: Yes, sure. So yes. As I said in my remarks, that one of the changes is that we do expect that our major club customer will keep that expanded set. So that is a change versus what we had assumed before. So we think that the competitive set will be bigger and remain the same. I think that we wanted to watch repeat rates. I would say we're continuing to monitor. I think what is clear is that not all of these kind of insurgent brands are going to make it. There is definitely going to be a shakeout. These thresholds that you have to hit at these club customers are high. And so I think that we will continue to see sort of a rotation of different kind of smaller brands, bringing news, but also kind of just coming in and out. I would say what we have learned, we are -- our fifth pallet in that customer will -- as we expected, will be -- will transition out. The rest of our business is super strong. I think that what I've learned, and what we have learned is that I think that -- the category is strong, it's expandable. I think that they're -- from an insurgent brand standpoint, there will be winners and losers, and it's really hard to hit those thresholds. I think that we are really well positioned versus consumption. When we look at the interaction between us and many of the competitors, we have a clear position and our repeat rates are only getting stronger. So -- and we're also source -- we are sourcing some volume from those competitors. So I think I feel really good about our business in the long term despite there's kind of a little bit of messiness in this quarter.
Operator: Our next question comes from Megan Clapp with Morgan Stanley.
Megan Christine Alexander: I just wanted to ask about the club channel, again, maybe following up a bit on Andrew's question. There's been a lot of unique dynamics, not just here in the first quarter, but all year in the club channel. And clearly, it's an important channel for the category a bit more mature for you. But when we think about the acceleration that you talked about that you're going to see in mid-December and the kind of down 5% to up 9% or so embedded in the guide. How much is driven by the Club channel in particular? And can you just tell us what that means for what you're expecting for growth in the club channel this year? And how the various headwinds and tailwinds kind of shake out in your mind as you think about that channel.
Darcy Davenport: Yes. So what we expect is that -- the growth is -- the major growth is largely coming from outside of the club channel. I mean we've been seeing stronger growth for many, many quarters from our FDM, the food, drug, mass and e-commerce channels. So that is where we see -- that's where we have kind of the most potential, and where we see kind of the most opportunity for the category as well as us. So what our guidance assumes is that the club comparisons get better throughout the quarters. But the growth is largely coming from the rest of the channels. So I think that -- and in our -- in my remarks, I talked about kind of the reason to believe just around distribution, merchandising, advertising and innovation.
Operator: Our next question comes from David Palmer with Evercore ISI.
David Palmer: Thanks for the commentary on your general areas of investment. A lot of us are going to be looking at the all-channel scanner data, the consumption data. I wonder how you're thinking about what we will see in that consumption trend through the rest of the fourth quarter. And I presume which will be a ramp into 2Q? How you're thinking what we would see based on what your plans are -- and to the degree that you can, can you tell us how you're factoring in increased competition that you see and perhaps some room for surprises and your innovation contribution to growth.
Darcy Davenport: From a consumption standpoint, we are expecting, in November, we'll continue to see Tough Club comps and remember, we have that non -- that Club promotion that we are not recurring. So expect kind of slightly negative kind of low-single digits, continuing through November. What we start seeing when you'll start seeing an acceleration in sort of the back half of December as New Year. So we have the mass partnership, so kind of expect low double digits in all of December, but it will ramp up towards the end. And then that momentum will continue through kind of Jan, Feb, March and on. So there really is some unique things going on right now within the club channel, then ease out. Obviously, the nonrecurring-club promo is very specific in October and November. But after that, I think that what happens is that it continues to accelerate as we layer on these demand drivers. David, what was the other question?
David Palmer: Well, how you're thinking about increased competition being headwind, perhaps including some room for surprises there, but also contribution to growth, and how you're thinking about just the innovation giving you some help on some of the consumption numbers you're thinking about?
Darcy Davenport: Yes. I would say that our guidance is very, I would say, it's prudent. It's conservative. It puts in assumptions around continued competition. And so I think it's one of the reasons why I feel really good about -- I feel really good about delivering the year quarter by quarter.
Operator: Next question comes from Brian Holland with D.A. Davidson.
Brian Holland: I wanted to maybe follow up on the conversation around compares over the balance of the year. I mean if I look at Premier Protein's consumption, a little bit softer in Q2 and Q3 prior year in club. Overall, consumption pretty strong throughout the year. So I know you did a longer promo event at your largest club customer this past August, September. So just a little more -- just a little better understanding about why, or how you view the compare as being easier over the balance of the year? And what level of visibility do you actually have into competitor shelf placement as we go through the year?
Darcy Davenport: So I'll start, and then, Paul, if you want to add on anything? Yes, so our club comparisons do get easier. So if you remember, in our largest club customer, the expanded that started easing in Q3 and then expanded more in Q4. So we are lapping, so especially in Q1 and into Q2, we are lapping a period with kind of less competition. So the comps are more difficult in the front end. I think what -- as we move forward, I would say we have -- the visibility on competitive entrant is -- I mean, I would say, pretty good for the first half. And then we have -- I mean, we don't even know about our reset for the back half. Here's what I would say is -- as the #1 brand within the category, our retail partners are choosing us to figure out what they're going to do in this -- in their category. So there's some exciting things going on. And I'm going to -- I referred to this in my remarks, but in several retailers, a club retailer as well as some major food retailers. They're testing higher traffic dials to move the category. And they're not just -- they're not moving the entire category. What they're deciding to do is they're selecting the best performing brands the ones that have the most mainstream appeal, and they're moving those into these new higher traffic sets. Obviously, that includes Premier Protein. But some of the legacy brands will stay back in kind of the pharmacy. So that dynamic is not something they're testing it right now. So we're not seeing that necessarily make its way into consumption, but it will in the medium to long term, probably -- actually not even long term, medium term. So some of those dynamics are really exciting. And I think show you where the category is going, and whereas the #1 brand where we will be going.
Paul Rode: So obviously, we had very strong distribution gains in fiscal '25. And so we'll obviously get the full year benefit of that in fiscal '26, including some pretty significant distribution gains in our fourth quarter, in particular at a mass retailer that reset shelf. And so obviously, we'll get a full year benefit of that reset as well, including -- in our first quarter, we have some innovation that's also shipping out. So as you kind of get into Q2 and beyond, some of that innovation will start shipping. Q2 obviously is a very big pulse period for us of advertising. So we're stepping up our advertising, stepping up our merchandising, stepping up our promotional events, especially in FDM. And so those are the reasons we think that sales and consumption will accelerate as we move into Q2 and beyond with additional innovation hitting later in the year. So those are the big pieces for the reasons for why we believe consumption will accelerate as we move throughout the year.
Operator: Our next question comes from Thomas Palmer with JPMorgan.
Thomas Palmer: I wanted to maybe bridge a little bit more on your EBITDA margin, down around 280 basis points year-over-year. You noted, I think, around 80 basis points from tariffs and your comments suggest maybe another 80 basis points for stepped-up advertising. So when we're kind of thinking through the remaining 120 basis points, maybe a little help kind of bridging like SG&A leverage, excluding advertising, inflationary pressure, excluding tariffs? And then maybe thinking through some of the cost savings that you noted.
Paul Rode: So as you've highlighted, we're calling for our EBITDA margins to be down about 280 basis points compared to a year ago. And as you mentioned, about 80 basis points of that is tariff. From a line item perspective, we expect gross margins to be down, that's the lion's share of that decrease. And then SG&A, we would expect to be modestly down with advertising an 80 basis point headwind, and then there's offset partially by some G&A leverage. When you look at within gross margins, we were calling for inclusive of tariffs, a low to mid-single-digit inflation headwind. Much of that is on whey proteins, which is the input cost on our powders, we are taking pricing for late in Q1. So obviously, that will start to get offset as we move into Q2 and beyond. On our shake business, we do have a little bit of a step-up in Q1 and then inflation is pretty flat to slightly up as we kind of go through the year on shakes. And so the puts and takes are, we have some additional inflation, especially on our powder business, which were pricing. On our shake business, we have some modest inflation as we go through the year, but we also have cost savings initiatives that are more impactful in the second half of the year. So one of the things I want to point out here is that if you look at our margins, kind of by quarter, the first half obviously has -- we're lapping a very, very strong margin first half last year. We had gross margins nearly 35%. And so that's -- so as you look at kind of the headwinds throughout the year, first quarter has the biggest headwinds on a margin perspective versus a year ago. Q2 also has a sizable headwind, but less than Q1. And then as we get to the second half, things are actually fairly similar versus a year ago from a margin perspective. So it's really the first half where we have the biggest headwind related to margins. And again, largely driven by inflation, but also our stepped up promotions as well.
Operator: Our next question comes from Peter Grom with UBS.
Peter Grom: So I wanted to go back to the market share discussion and a follow-up to Andrew and Steve's question. And I guess specifically on what you are seeing from the insurgent brands. And I guess -- do you think they have the potential to see similar market shares to what the category leaders are at today? And I ask this more around the debate around what the competitive landscape looks like. I think some point to the potential that we could -- this industry could be similar to what we see in energy drinks, where you have a duopoly versus maybe some others where you have 5, 6 brands with similar shares. So Darcy, I know you mentioned that you think it's -- some of these brands are going to go away, but maybe you can take the other side of it, I'm curious if you think any of these insurgent brands have potential to become more real competitive threat over time?
Darcy Davenport: I mean I'll just -- you guys have been along with our journey, and I think you even see it with our major competitor. It takes a long time to build a national network of a national supply chain. And so I think that from a -- I think it's -- I think you can -- some of these insurgent brands can do well in one retailer. But I think expanding out, and we've done it. This is kind of -- in many ways, this is our playbook, right? Like we started in club, we expanded outside of it. It is incredibly complicated. So it is complicated to -- it's a complicated supply chain, the expertise that you need to have the sophistication around expanding and being able to service multiple different channels simultaneously as well as the back end of -- on the co-man side. And then even if you're self-manufactured, that's a whole another piece. So I am assuming, we are assuming that, of course, there's going to be -- there are going to be a couple of these insurgent brands that probably make it. But it is going to take a while. And I think that what we're seeing, but I think there will be many more that don't. And that -- and I just do not want to underestimate the move from one kind of club customer to go national is very complicated. It takes multiple years, and it's a different skill set. So yes, I think that ultimately, I think this category is going to consolidate around kind of the most successful brands, a handful of them. And I clearly think that's going that's obviously going to include us as the #1 brand.
Operator: Our next question comes from Alexia Howard with Bernstein.
Alexia Howard: Can I ask about pricing expectations, price versus volumes embedded within your guidance. You're obviously taking a list price increase on Dymatize. With the rest of the portfolio, do you expect promotional activity step-up to actually bring pricing downwards? And does that cadence vary through the year?
Paul Rode: Yes. So for -- I'm going to break it into brand. So for Premier Protein, we would expect a modest kind of a low single-digit headwind related to pricing. So that incorporates our stepped-up trade investments, offset by -- we expect some favorable mix. So there is a low single-digit headwind we're expecting on our shake business, which obviously is the biggest part of our business. On Dymatize, we're taking a price increase on powders, but we expect mix to play a big part of this because we now have RTD shakes and Dymatize, and those are at a much lower price per pound than powder. So it throws off a really funky mix. So net overall for total BellRing, I would expect a low single-digit headwind overall with Premier similar and then Dymatize, even though we're taking a price increase, may look like it's negative because of just mix.
Operator: Our next question comes from Matt Smith with Stifel.
Matthew Smith: Darcy, following up on the discussion or Paul, around higher promotional activity over the next year. We've seen a step-up in promotional intensity from insurgence in recent weeks. As you look forward, do you expect Premier promotional activity to be moving higher more on a frequency or a depth basis? And do you expect that to be focused in certain channels? It sounds like maybe club promotion should be similar relative to the prior year once we get past the first quarter?
Darcy Davenport: Yes, I think that's me, right, Paul. Yes. So you're exactly right. We're expecting to see a little bit of a step-up of promotion in '26. And yes, I think, it's interesting that just October, especially in the club channel is usually not a high promotion time period, and it was a little bit more, and it's coming from the insurgent brands. So from our standpoint -- and also, I would just say that just remember that this category is actually fairly low promotion compared to many categories. It's just about -- it's about 25% to 30% sold on deal. So just keep that in mind as you're thinking about just this category kind of in the macro. But as far as our business, we are going to see a little bit of uptick in promotion mostly as we talked about, our emphasis, specifically in FDM as we are getting out of the aisle, as I've talked to you guys before, the key is for us is getting out of the aisle to get that trial, to get that -- and then with our 50% repeat, we get the repeat. So that's a big emphasis. It's why we brought on the brokers. It's why we have a new internal team focused on this, around singles and entry point priced multipacks. So because of that, when you have that merchandising, you usually have to do some sort of a TPR. So we are going to see a little bit of a step-up of promotion that comes along with that expanded merchandising.
Operator: Our next question comes from Yasmine Deswandhy with Bank of America.
Yasmine Deswandhy: So I just had a quick one on longer-term strategy. So you guys walked away from the PowerBar business a couple of years ago. And considering that the convenient nutrition category is expanding outside those traditional products. Have you given any thought into, say, going back into bars or expanding into breakfast offerings like waffles, pancakes and cereal. I guess I'm just asking as well because given the recent -- the press release of the recently announced Board appointment, it highlighted David's finance M&A background. So I also don't know if there's -- has there been any change in your capital allocation priorities, particularly around M&A and your product portfolio as well.
Darcy Davenport: Why don't I hit the portfolio piece and Paul, you can hit capital allocation. So from a portfolio standpoint, we really -- we believe in our category, specifically ready-to-drink shakes and secondarily powders. We think that there is a ton of opportunity. I talked about in my prepared remarks just around this demand landscape study that we did. A key part of that demand landscape study was to evaluate and make sure that there was going to be a ton of room to grow, and there were many years of strong growth kind of a ton of white space that we could capture. So it confirmed that. So we love this category. We think there's a lot of opportunity. We have a great brand to compete. Now having said that, we also do participate in some of these -- we have a great brand that we have learned that can travel to heavier traffic aisles. We are competing in some of these other areas, but we're doing it through licensing. So if you -- we actually have a frozen pancake, we have a frozen waffle. We have a dry pancake mix. We have a cereal, and we're actually expanding some of those, but we do it through licensing because we want -- I want this organization laser-focused in what we believe is the biggest opportunity, which is ready-to-drink shakes and powders. So no, we do not have any plans to go back into bars. It's a highly competitive area, low barriers to entry, et cetera. So -- but we love the area that we in and we think there's a lot of upside, and I'll pass it over to Paul for capital allocation.
Paul Rode: Yes, thanks, Darcy. Yes, on capital allocation, I would say that our priorities haven't shifted really that much. Obviously, our first priority is always investing in the business. And as we talked about, we are making investments this year within trade and promotions continue to drive this business. Outside of that, because we generate really strong cash flow, we're not expecting to change our asset-light model. We have low CapEx. Obviously, that provides us a lot of cash flow that we can obviously allocate from recently, and we still think is the most attractive is share repurchases. We've obviously leaned into share repurchases. And so that's still our near-term priority, but M&A, we're always looking at M&A. We're looking all the time. We get pitch things all the time. And so we'll definitely keep an eye out on M&A, and that's something I think that is becoming -- I wouldn't call it near term, but it's more kind of in the mid- to longer-term priorities for us. And yes, David, coming to the Board obviously brings a lot of strength in that area. So that's great for us. And so yes -- but yes, M&A is something we're always looking at. And if we find the right opportunity, we certainly would go after it.
Darcy Davenport: Yes. And on the Board side, we're really happy to have David on board. I think he brings a great skill set, and we're always looking at expanding and improving the skill set on our board. Our Board has been incredible over the years, and we just want to continue to make it better and increase the skill set. And I think David does that.
Operator: Next question comes from John Baumgartner with Mizuho Securities.
John Baumgartner: I'd like to ask about RTD category segmentation. Fairlife Core Power, they've established that Premium segment in ultrafiltered milk, but now we've seen two legacy competitors relaunched with ultrafiltered, some of the newer entrants, the insurgents private label, they're adopting ultrafiltered. So I'm curious, Darcy, why the category is making this shift with ultrafiltered becoming more of a standard recipe? Is it tied to raw materials availability? Is it due to the license to move more Premium? Is there a specific consumer you sense they're chasing? Just curious your thoughts there on that recipe shift? And how might this shift position Premier differently relative to history?
Darcy Davenport: Yes. Yes, I think the category is maturing. I think that it is -- when we did our demand landscape study, I think that what became very clear and our head of innovation, I will quote her, and she described the landscape is like there's different strokes for different folks. Meaning some -- when the category is more nascent, kind of everybody kind of wanted the same thing. But as it expands, there are different preferences. And so for instance, some people want thickshakes. Some people want thinner shakes. Some people want dairy shakes, some people want plant. So I think what's the good news for us is that our core 30-gram shake addresses the biggest consumer needs, but it doesn't address every consumer need. And so as we now are kind of growing up, we hit with the 30-gram with our core offering, we hit the biggest one, but now we're launching innovation to go after some of these other needs. And like -- I mean, I think a good example of that is, so when you're talking about ultra-filtered milk, that is an innovation. It's a thinner offering. It's more of a beverage. Ours is more of a thicker shake. Ours is more of a meal replacement. So I think that starts explaining why there's actually not that much interaction between the two. It's going after kind of a different consumer, different occasion. We launched almond milkshake, that's a non-dairy. We knew that was an opportunity. We think it's a smaller opportunity than the dairy side of things, but it's an incremental opportunity. And I think our numbers that we're getting from almond milkshake, even though it is early, are showing exactly that, 50% incremental, we're getting to new people. So that is a key aspect of our innovation strategy is really going after -- make sure that our 30-gram core business is strong. We always are looking at making it better. We're always looking at bringing in news and flavor innovation, et cetera. But at the same time, we also are going after some of these other incremental consumer needs with other innovation.
Operator: Our next question comes from Jon Andersen with William Blair.
Jon Andersen: We talked a lot about the insurgent brands this morning. And Darcy, you mentioned you expect over time there to be a bit of a shakeout, which makes sense to me with some winners and some not meeting the thresholds. But in your kind of experience, how long would you expect kind of a process like that to kind of take or to play out. And the reason I ask is because it seems like the competitive dynamic that is weighing a bit today, it could remain difficult until that kind of shakeout period -- shakeout event kind of plays out more broadly in the market.
Darcy Davenport: Yes. I mean it's a great question. I think that we're seeing it right now, obviously, we're seeing brands that are not making the thresholds. I think what -- I think I would zoom out a little bit. So I think the reason why even in Steve's very first question, just about our view of the category these insurgent and kind of crossover brands, they're getting a lot of attention. They only represent 10% of the category, and there are a lot of them. So -- and I think that remembering, and I think that what is important is where the growth is coming from, it's coming from the leading brands, bringing in more households and then also sourcing volume from those declining legacy brands, which are not insignificant. 30% of the market share is in these kind of declining legacy brands. So what's happening is that, yes, there's going to be some churn in the insurgent kind of crossover brands. Some are going to make it, some of them not. There's always going to be new news. It's an exciting category. I mean you see it in energy. There's always like this group that kind of starts turning. But like if you zoom out the leading brands, which have established, which has -- they have high -- let's just talk about Premier, #1 household penetration, #1 repeat, national supply chain that we've built over years and years and years. We have -- we're now invested, we have capacity. We're now investing in the brand, we're leaning in, we're partnering with retailers to figure out where in the store that this category should be, and how it should be merchandised, and how to maximize it. They're choosing us to do that. So the leading brands are just going to -- they're going to keep on winning. There's going to be churn around the insurgent brands. And then the legacy brands are going to be the ones, I think, that continue to be -- they have been shared donors for years, and they're going to -- and that is just -- it's kind of accelerating. So your question around how long is it going to take? I mean, I think there's going to always be this kind of churn of insurgent brands. And I think it's an exciting category. We watch it for sure. But I think that there will -- I think the focus in my mind is -- and they're actually sourcing some volume from the declining legacy brands. So -- but I think the focus is that we definitely expect there to be a consolidation and the most successful brands are the ones that are going to really propel forward.
Operator: Our next question comes from Robert Moskow with TD Cowen.
Jacob Henry: This is Jacob Henry on for Rob. Just one question for me. I think I heard you guys mention that your fifth pallet at the large club customer is transitioning out. I'm just wondering if you have any insight into when, and why that's happening.
Darcy Davenport: Yes, it was always going to be -- it was always going to be a temporary SKU. So it went in -- it's coming out in Q2. So it will phase out.
Operator: And I'm not showing any further questions at this time. And as such, this does end today's presentation. We thank you for your participation. You may now disconnect, and have a wonderful day.